Operator: Good afternoon, ladies and gentlemen. My name is Brant I will be your host operator on this call. [Operator Instructions] Please note that this call is being recorded on August 9, 2022 at 5 PM Eastern Time. I would now like to turn the meeting over to your host for today's call Mike Rost, Senior Vice President of Corporate Development and Investor Relations at Workiva. Please go ahead.
Mike Rost: Good afternoon. And thank you for joining us for Workiva's second quarter conference call. During today's call we will review our second quarter 2022 results and discuss our guidance for the third quarter and full year 2022. Today’s call has been pre-recorded and will include comments from our Chief Executive  Officer, Marty Vanderploeg; followed by our Chief Financial Officer, Jill Klindt. We will then open the call up for a live Q&A Session. Julie Iskow, our President and Chief Operating Officer, is also on the call. A replay of this webcast will be available until August 16, 2022. Information to access the replay is listed in today's press release, which is available on our website under the Investor Relations section. Before we begin, I would like to remind everyone that during today's call, we will be making forward-looking statements regarding future events and financial performance, including guidance for the third quarter and full fiscal year 2022. These forward-looking statements are subject to known and unknown risks and uncertainties. Workiva cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only. And we undertake no obligation to update any statement to reflect the events that occur after this call. Please refer to the company's annual report on Form 10-K and subsequent filings for factors that could cause our actual results to differ materially from any forward-looking statements. Also, during the course of today's call, we will refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are also included in today's press release. With that, we'll begin by turning the call over to our CEO, Marty Vanderploeg.
Marty Vanderploeg: Hello, and thank you for joining today's call. We are pleased with our Q2 results despite the challenging macroeconomic environment. Our SMS and total revenue have exceeded market expectations and once again beat the high end of our guidance and revenue and operating results. Q2 subscription and support revenue grew 24.3% and total revenue grew 24.6%. These growth numbers include the impact of the Q2 acquisition of ParsePort. For the quarter we saw continued bookings growth in multiple solution areas including our GRC and ESG solutions. Our organic revenue retention rate of 97.9 is the highest we have reported as a public company. This strong quarterly performance was driven by the strategic investments we have made in the Workiva platform, purpose built solutions, and partner and customer success. We believe that the demand for regulatory software is consistent and durable. And we will continue to invest in key platform capabilities and our ESG opportunity. However, we expect that near term growth may be influenced by broader market conditions, including the possibility of lengthen sales cycles. Despite the potential of some market noise in the near term, our confidence remains strong in the long term opportunity across our wide TAM. At the same time, particularly given macro conditions, we have increased our focus on achieving greater operating leverage, and have slowed our hiring plans for the balance of 2022. Across the business, we continue to carefully review our spend and efficiency to balance achieving our growth targets and at the same time improving our margin profile. We do not plan to slow down or reduce strategic investments in ESG or key platform capabilities. These initiatives we believe will drive long term growth and widen our competitive moat. This balance between growth and operating leverage will lead to future margin improvement. We believe that we will return to a quarterly operating profit on a non-GAAP basis in the latter half of 2023. Following our Q1 earnings call, there was a lot of discussion surrounding our capital market solution. To be clear, we have factored the impact of this downturn into our full year guidance and are not projecting a rebound IPO activity in the second half of 2022. Looking beyond 2022, we remain confident we will become a billion dollar revenue company and have the TAM, the platform and the team to deliver on that goal. We believe that the market opportunities surrounding ESG GRC, and the broader regulatory reporting environment will drive our durable growth. We continue to be optimistic about our business opportunities in the ESG market. During the quarter, we signed several ESG contracts, including a top five global bank, a prominent U.S. consumer products company, and a large global technology company. Our ESG solution complements our other solutions, making it a seamless process for customers to report their non financial data combined with their financial data. We're also very pleased with the growth of our governance Risk and Compliance business Workiva’s industry leadership and significant investment GRC has positioned us well for continued success in this growing market. In the second quarter, many of our GRC wins were multi-solution opportunities. Our clients saw the value of our platform and invested in our internal controls, internal audit, risk management and policy management solutions. During Q2, our advisory and technology partners continue to help drive growth across our global footprint by sourcing and influencing multi-solution deals. The percent of new business sourced and influenced by our partners continues to increase. A few large partner related wins in Q2 include the following. In North America, a regional consulting firm sourced a mid six figure GRC win with a large financial services company. In A-PAC, a big four partner source a multi solution opportunity with a large energy company for annual reporting and global statutory reporting. And in Europe, a big four partner source a multi solution opportunity at a large financial services company for ECF, global stat bank risk and corporate reporting. Our team in EMEA produced its highest quarterly bookings number ever for the region. This is a result of a number of operational changes we initiated in Q2. There is more to come in this areas, we work to maximize our substantial growth opportunity outside of North America. In April, we acquired Denmark based ParsePort, an XBRL conversion software company. The acquisition strengthened our XBRL leadership position across Europe. It grew our employee base of strong talent and is accretive to revenue, profit and growth. Jill will provide further detail on the go-forward financial impact of ParsePort later in the call. We will host our annual investor day on Tuesday, September 13 as part of the Workiva Amplify conference. We hope you will join us either in person at the MGM Grand in Las Vegas or via webcast. Julie, Jill, Mike and I will update you on Workiva strategy and operating model. In summary, we remain confident in the resiliency of our business, the continued demand for our regulatory financial and ESG reporting products, the uniqueness of our cloud platform and our ability to expand in our large and relatively unaddressed TAM. Notwithstanding the current macro challenges, we remain committed to balancing our growth strategy and achieving operating leverage from our investments. I would like to thank our global team of dedicated employees who continue to execute on our strategy, take care of our customers and each other and live by our values. With that, I will now turn the call over to Jill.
Jill Klindt: Thank you, Marty. And good afternoon everyone. Today I will review our Q2 operating results, highlight the impact of the acquisition of ParsePort and provide Q3 and full year 2022 guidance before opening the line for questions. As always, I will talk about our results and guidance on a non-GAAP basis. Please refer to our press release for details on our Q2 results and the reconciliation of our non-GAAP and GAAP results in guidance. Unless otherwise stated all results I discussed today are inclusive of our ParsePort acquisition.  We have another solid quarter exceeding our guidance. We beat Q2, 2022 revenue guidance the midpoint by $5.5 million. Our SMS and services revenue combined with ParsePort results contributed to the over-performance. We beat guidance on Q2 operating results at the midpoint by $4.2 million due to the strong Q2 revenue previously mentioned. We acquired Danish XBRL software provider ParsePort on April 1 of this year and are pleased with the early results. I will disclose a few data points to highlight how ParsePort added to our Q2 results and how we will report on the ParsePort contribution to the business going forward. We will report revenue on an aggregated basis. For this reporting cycle we are disclosing quarterly ParsePort revenue and deferred revenue balance to assist your models. The revenue contribution from ParsePort in Q2 was $1.7 million, which included $500,000 from services. As we look to future quarters, we do not expect the ParsePort bookings trend to be linear. History has shown seasonality weighted majority of bookings in Q4 and Q1. The deferred revenue balance for ParsePort at the end of Q2 was $2.5 million, all of which we expect to record as revenue in the next 12 months. We will report customer count for both the Workiva platform and on a consolidated total basis. ParsePort has a significantly lower deal size than our Workiva platform business which would reflect a much lower average deal size when looking at our numbers and aggregate. The total customer count is now inclusive of 850 ESEF customers from our ParsePort acquisition. We plan to provide a ParsePort ESEF customer count at each earnings release. Now let's go through some key highlights for Q2. We generated total revenue in the second quarter of $131.5 million showing growth of 24.6% from Q2, 2021. Subscription and support revenue was $113.4 million, up 24.3% in Q2, 2021. New logos, new solutions and ParsePort helped drive strong revenue growth in Q2, 2022. 68% of the increase in SMS revenue in Q2 came from new customers added in the last 12 months. Professional services revenue was $18.2 million in Q2, 2022 up 26.5% from the same quarter last year. Primary driver of the increase was higher XBRL services revenue and completing some of those services ahead of schedule. For our recruitment platform, we added 123 net new customers for a total customer count of 4531 under the Workiva platform, a growth of 582 from Q2, 2021. Inclusive of ParsePort, we added 973 new customers in Q2 for a total customer count of 5381, a growth of 1432 customers from Q2, 2021. As Marty mentioned, our subscription and support revenue retention rate was 97.9% in the second quarter of 2022 an increase compared to 96% for the same period last year. With add-ons, our subscription and support revenue retention rate declined to 108% for the second quarter of 2022 compared to 111.6% in Q2, 2021. As we discussed during our Q1 call this metric is being impacted by the lifecycle of our customers who purchased our capital market solution during 2021 but have transitioned to a lower cost ongoing annual contract value in the Q2 calculation. Excluding the impact of capital markets, this metric would be about three points higher this quarter. Please note that ParsePort customers will not be included in our retention calculation until we have a full year of comparable data. The number of larger subscription contracts continues to show growth. In the second quarter of 2022 we had 1186 contracts valued at over $100,000 per year up 25% from Q2 the prior year. The number of contracts valued at over $150,000 totaled 642 customers in the second quarter up 20% from Q2, 2021. The number of contracts valued over $300,000 totaled 194 up 22% from Q2, 2021. Gross profit totaled $100.8 million in Q2 up 22.9% from the same quarter a year ago. Consolidated gross margin was 76.6% in the latest quarter versus 77.7% in Q2, 2021 and that decline of 110 basis points. Operating expenses increased 42.2% from Q2, 2021 due to investment in sales and R&D hiring, in person events and return to travel. We posted an operating loss of $8.3 million in Q2, 2022, compared to an operating profit of $5.3 million in Q2, 2021. at June 30, 2022 cash, cash equivalents and marketable securities totaled $429 million, a decrease of $94.6 million compared to the balance at March 31, 2022. This decrease was due to the closing of our $100 million ParsePort acquisition. Cash flows from operating activities in Q2, 2022 totaled $8.7 million, compared with cash provided of $12.8 million in the same quarter a year ago. Now turning to our guide. Our current 2022 guidance assumptions are dependent on a variety of factors that are subject to change, including the ever changing macro environment. We continue to believe our assumptions are appropriately prudent for the current environment. For the third quarter of 2022, we expect total revenue to range from $132 million to $133 million. We expect subscription revenue will grow at a faster rate than services revenue in Q3. We expect non-GAAP operating loss to range from $13 million to $12 million and net loss of $0.27 to $0.25 on a per share basis. Our share count will be approximately 53.1 million weighted average shares. For the full year 2022 we expect total revenue to range from $534 million to $536 million. We are improving our guidance for non-GAAP operating loss to range from $27 million to $25 million, or a net loss of $0.57 to $0.53 on a per share basis. Our share count will be approximately 53 million weighted average shares. And in 2022, we expect to post positive free cash flow for the sixth consecutive year. In closing, we are pleased with our Q2 results. I want to echo Marty thanks to all Workiva employees. You are an amazing team and I am proud to be working beside you. For the analysts, investors listening to our call today. I look forward to seeing you next month at our investor day event. We will now take your questions. Operator, we are ready to begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from Alex Sklar with Raymond James.  Your line is open.
Alex Sklar: Great, thank you, Jill, I guess this for starters, can you just provide some additional context on what you're factoring in the second half growth assumptions either from an FX standpoint or what the sales cycle impact might be the numbers? It looks like a fairly notable step down versus kind of the strong QQ. So just want to see if there's any other details there. Thanks.
Jill Klindt: So we definitely had some impact, some currency impact in the first half. And we're confident that that could come to fruition in the second half as well. But I think more than anything, it's back to some of the comments that Marty has made around just being really careful about the current macro environment and how we're building out the plan to the end of the year. We don't want to get ahead of ourselves. We want to be really careful with the expectations that we can have for how quickly we can close deals. And it just didn't make sense at this time to get too far ahead. I don't know Marty, was there anything else you wanted to add there? 
Marty Vanderploeg: Well, yes, as I, as I mentioned this, Thanks, Jill. As I mentioned in the script, we take capital markets, any recovery in capital markets out of the equation. And it's not a big part of our bookings, but it's significant. So we're playing careful, because no one quite knows how the macro stuff is going to unwind. So we want him to reduce risk our forecast and I'm sorry, in our guidance, and that's why you see what you see.
Alex Sklar: Okay. And then Marty, I guess, on ESG reporting, specifically, I know, you're kind of still continuing the investments there. Are you seeing any kind of macro impact on that solution in particular, and how that's kind of playing out versus your expectations. And I know you've only been possible for a few months now but talent awareness amongst those customers around your ESG reporting solutions?
Marty Vanderploeg: There are two questions there, we haven’t seen a macro effect on ESG yet, I think that even in lieu of ESG mandate, which everybody thinks is coming in the fall. But there's not certainly they're even. Even in lieu of that we've been doing well in North America with ESG solutions. And so we haven't seen that much macro effect on that. The second question about Parseport yes, we do there is awareness in their customer base that ESG is coming. We're also in the midst of making them aware of the Workiva platform and our ESG solution. They can do ESG on our platform, which is obviously the thing we'd like to do is a much higher value and higher price product, they can also do ESG with ParsePort in terms of right at the very end, just tag with their final documents. So we have a way to cover all those customers. But we are starting the process of trying to upsell those 850 customers, that number continues to grow and upsell them onto our platform. And we're a large percentage of a pretty big company. So we feel that's a real opportunity.
Unidentified Analyst: Okay, great color. Thank you all.
Operator: Your next question is from the line of Daniel Jester with BMO capital markets. Your line is open.
Daniel Jester: Great, thanks for taking my question. Maybe just first on Jill, appreciate the context around ParsePort in the quarter, did you provide context and how much ParsePort is going to be included in the full year revenue guide?
Jill Klindt: No, we didn't give that kind of detail. I would say, though, that I had mentioned that the deferred revenue balance that was outstanding, at the end of Q2 will be recognized over the next 12 months. We would expect to see more bookings from them in Q4 of 2022, and Q1 of 2023. And so leading to that, I would say that you can use those metrics to try and guide towards increasing revenues more so from Parse for later in the year and into 2023.
Daniel Jester: Great, thanks. That's helpful. And then I just want to clarify for those who like the words being used about the sales cycle. It sounds like you've said potential a lot. And so I just want to be really clear. Are you actually seeing today as of August any of these macro economic factors? Or is your guidance for the rest of the year conservative but you're not actually seeing these issues. Thank you.
Marty Vanderploeg: Yes, this is Marty, I'll just say that. We have seen sales cycles extend, we've had more deals push recently than we traditionally see. And so we are seeing that, but the bulk of our issue, just to put it in context, it's still the disappearance of cap markets. So we are seeing some. The rest of our solutions have been continuing to grow and do well. We just the chunk out of cap markets, we're slowly filling that with other solutions, but it takes time. So we are seeing some macro stuff, there's no doubt. It's not profound yet on our other solutions other than cap markets, which was very profound. So we're starting to see that and I don't know if it's going to get worse over time, these things as they go longer tend to put more pressure on the type of companies that are our customers, but we'll see.
Daniel Jester: Okay, appreciate the context. Thank you. 
Operator: Your next question is from line of Rob Oliver with Baird, your line is open.
Rob Oliver: Great. Thank you. Good evening. Thanks for taking my question. Marty, first one for you. Just your comments, relative to EMEA fairly positive, albeit acknowledging that it's tough environment over there right now. And so I guess maybe a follow up to Alex's question earlier, just as you look at those 850 customers from ParsePort any sense that they are at all contributing now or starting to contribute to some of that sort of the good activity you're seeing over there in Europe amidst what otherwise is a tough environment in terms of cross sell and upsell or is it just too early and then maybe you can talk about some of the early learnings in terms of appetite for Workiva platform with that cohort?
Marty Vanderploeg: Well. To answer the first part of your question, no, the ParsePort team has not really started to contribute from a dollars point of view on moving the Workiva platform. The performance we saw this year, which we are, this quarter, I'm sorry, we were pleased with for new bookings. It was a nice step up. But we have a way to go in EMEA. There's no doubt and we talked about structural changes we've made there and we're optimistic we're seeing things improve. In terms of ParsePort customers, we are just starting. And when you when you integrate a new company like that, you have to be careful. They were also finishing out their busiest time of the year, and their last logo grab for the year. It's a very cyclic business. They have because it's a once a year report. So we didn't really want to touch them. And now we're just starting that reach out to customers of theirs to get meetings. So that is all yet to come in terms of upside. So what you saw on the improvement this quarter was all from the traditional Workiva EMEA folks.
Rob Oliver: Okay, great. That's that's helpful color. Thanks, Marty. And then my follow up is for Jill, Jill it’s tempting to ask a question that would potentially front run September, so I won't do that. But I guess we'll say is Marty called out a really nice partner contribution to the quarter. I know, that's been one of your goals. So just curious when you look at some of the big deals, the EMEA deal that was set out, I think it was a European bank. Are there is there are there any common EMEA to those deals that our you know, the representative of improvements you guys have made? Or in what's driving that increase the electivity? Thanks.
Jill Klindt: Absolutely. And you mentioned partners, and in EMEA that is one of our core tenants of growth there, as well as in A-PAC. And it's the numbers and the percentage growth of our deals that are generated by partners and delivered by partners is increasing globally. So we're absolutely seeing that as a trend across the world.
Rob Oliver: Okay. Thank you. 
Marty Vanderploeg: I would just add a comment. I would say, much to Julie's credit, they're starting to understand that they can really build practices with our platform. And her team has done a tremendous job of educating partners. So they realize they can build really nice practices around this. And I think that awareness has motivated them to learn what types of problems they can solve, and then go out and solve them. So that's really what Julie's team has been successful doing in terms of accelerating this. I mean, we're definitely seeing like I said in the script, a nice growth in terms of the percentage of deals that have partners involved one way or another.
Operator: Your next question comes from the line of Joe Meares with Truist Securities. Your line is open.
Joe Meares: Great, thanks for taking the question, guys. Nice job on the quarter. Sort of longer term question, the $430 billion inflation reduction office just passed by Senate. Do you guys see any of that money being directly helpful to your model over the next couple years?
Marty Vanderploeg: I really can't. I haven't dug into the details of that thing, I'm still a bit shocked that it went through. So I think it's good for the country, that's for sure. But how it's going to affect our business, I can't say for sure. Again, we have to dig into the details. We are seeing movement in DC on data standards. And we're very optimistic that the continued push for structured data and consistent frameworks to report the financial data or other non-financial data is definitely getting momentum in DC. So I think that we see promise there from a regulatory point of view, but I'm not quite sure on the other side and the new bill.
Joe Meares: Okay, I was just considered to be [indiscernible] any recent customer feedback on either ESG explorer for framework management or the GRC enhancements to data management connectivity you spoke about recently. And thanks for taking the questions, appreciate it.
Marty Vanderploeg: On the ESG there's a high rate of change in our product right now, because we're investing now, as I've talked about a lot. So we interact with a lot of customers. And we get a lot of feedback. And we're incorporating into the product at a very high rate. And the explorer tool, we're improving, and that's gotten very positive feedback. Some of the other features that we're just launching in the last two or three months are also giving positive feedback. But we have a little ways to go and really get them on tour. But the customers are so engaged with us and we have such a good team. And these are just the type of customers you want engage with some big companies, mid market companies all vertical, I mean, from all the different as I mentioned, energy or consumer products or retail we're getting, we're getting input from all those people so, and we've also generated a lot of interest from technical partners, partners who might specialize in carbon, or other things. And so it's really coming together nicely. And we're getting positive feedback. But most importantly, the customers are really highly engaged in helping us fine tune the product.
Joe Meares: Appreciate the answers. 
Marty Vanderploeg: And then on, I guess, yes, the IR, could you repeat the IR question again, please. The GRC --
Joe Meares: Yes. I think you'd also spoken about GRC enhancements for data management and connectivity, securities --
Marty Vanderploeg: Sure. In our GRC product, what's interesting, we've been investing in that for a long time. Because we always felt assurance was important for reporting, knowing that what's your reporting is correct and repeatable. But it takes a long time to build a robust GRC platform. And over the years, we've kept investing, and all of a sudden, we're getting close to having a product that actually serves a broad swath of GRC needs. We're really getting the critical mass, and how that's manifesting itself in our customer base, we keep talking about the improvement there is we're seeing a lot of multi solution, deals much higher dollars, and we're getting higher level people involved in those decisions. And I think that's mainly reflection of how much more serious people are taking assurance and risk management that sort of protects your house, if you will, in these organizations. So really good things we're seeing there. And it's all been around just the continued development of the platform and some specific features for IR, but we're really optimistic about it.
Joe Meares: Thanks again.
Operator: Your next question is from the line of Matt Stotler with William Blair. Your line is open.
Matt Stotler: Hey everybody, thanks for taking the questions. I think I'll just, first one, just to follow up on the ESG product, obviously mentioned that the high rate of change there. Let's just get an update on how you're thinking about the, I guess the overall readiness of that product, right, both from a kind of development functionality perspective, but also on the go to market front. And then any sort of how you're thinking about timeline to maturity there and obviously there's really interest here but when you will kind of be at a place where you think it's mature and ready to go.
Marty Vanderploeg: Well, I don't know that there's ever a day where you say, we crossed this line, but it's getting better every day. We have some very good customers who were serving as references who actually generated their ESG report using the tool, and are managing the whole process using the platform. So it's already robust. It's already providing value and we're continuing to see progress and sales. So I think it's ready to go now. We don't have unhappy customers by any means. So we have customers who want to make it better, but not unhappy. I think in terms of if there is a critical mass line, it's probably somewhere near the end of the year, I think that we'll have some really nice functionality in there. And we'll still be improving it, obviously. But in terms of go to market, I think we're having success now. It will only get better, over the remainder of 2022.
Matt Stotler: Got it. That's helpful. And then maybe just a follow up on the ESEF opportunity. Obviously, we've talked about it quite a bit. I think the that is, those regulations are effectively in place at this point. And those requirements are alive, obviously required ParsePort as interesting way to kind of have another kind of avenue to get into those customers. But we'd love just given that we're that those regulations have gone into effect, and you've got this kind of [multi-contract] strategy, if you will, we'd love to get an update on your thoughts about kind of what you're seeing in terms of first of all leads and conversions, and then how you think that that opportunity is going to lead to the model going forward? 
Marty Vanderploeg: Well, we're at the beginning of the process, frankly, much of the SEC. You say the regulations are in place, that's true, but they step up every year and what they're required to tag and provide. So just like the U.S. they did it the same way the SEC did first it was just based on a tagging face statement, and it was blog, and then it was detailed note, extra tagging. So we're, the ESEF mandate has a similar scale up. And next year, they have the block tag, for instance. And so the other thing is that most of them have only done it one time. And after they go through that one time cycle, they feel pain. I mean they feel a lot of pain, and they're you know, getting to the point where they're ready to do the tagging. So it's there's a lot of similarity to the SEC market, the [indiscernible] had the majority of the market in the SEC space when we started Workiva. And now we have a very commanding market share lead. So I expect the same thing. I've been consistent saying it's going to take a few years. And I think we'll have a very strong market share in EMEA. I also think that with all the mandates coming all over the world, and ESG coming to a large number of organizations, initially in EMEA. But other places over time, the Parseport solution in and of itself will be very valuable to grab market share in those markets, and then go in later and sell platform. So it's definitely part of our go to market strategy for companies who just want to start with a less expensive bolt on solution. So again, it's -- we're very happy with where we're at. Our deal size is much higher for the platform, much higher than the bolt on and we're still converting customers and still signing customers. So we're about the same place we were in the SEC in terms of market share right now. And so we're very optimistic.
Matt Stotler: Great, thanks again for taking the questions.
Operator: Your next question is from line of Mike Grondahl with Northland Capital Markets. Your line is open. 
Unidentified Analyst: Hi, it's Michael [indiscernible] for Mike Grondahl. Thanks for taking questions. Maybe first, just on the 100,000 ACV segment, it looks like there's kind of a nice reacceleration there from last quarter. So anything to call it there's more of just timing and we'll catch up from 1Q?
Jill Klindt: It generally just tends to be as we add more solutions on to existing customers sell more multi solution deals. Anytime you see that growth, it really is it tends to be showing the progress against getting more solutions into the existing customer base.
Marty Vanderploeg: Here I mean, I will add to that. Julie has been really good at defining metrics and really pushing to improve them and your multi-solution deals are up 17% the first half of the year compared to last year. And we're seeing the same type of thing and account expansion. So that manifests itself in bigger initial deals or different or bigger total account spends. So what you're seeing there also including the fact that when I look at the win reports every day, we're just seeing more and more six figure deals compared to the past. So I think that's part of what you're seeing.
Unidentified Analyst: Got it? And then just on ParsePort on the 850 customers there. Do you have what that number was year-over-year?
Jill Klindt: We don't have that available for you today.
Unidentified Analyst: Thanks.
Operator: Your next question comes from the line of Andrew DeGasperi with Berenberg. Your line is open.
Andrew DeGasperi: Thanks for taking my question. I guess first and the comments you made on balancing growth and margins, profitability back after the next year. Definitely you mentioned that you think you're going to continue to strategic investments on products like ESG. But can you maybe elaborate on why you're potentially stabilizing investment in and also indirectly how should we think about how this affects your growth plans, or will just be on the margins?
Marty Vanderploeg: Well, obviously, our goal is and it's on the margins, you never know for sure that that's our goal. And we think we can achieve that. I just appointed our history in a team, when I took over, we changed over a lot of our management team, and we have a really strong team. And they deserve some credit. I mean, prior to this year, they had increased our margin year-over-year for four years. We had one little hiccup in 2020, because we had such an awful second quarter around COVID. But for the most part, just a nice steady improvement and growth and meanwhile, a nice improvement in margin. So the team is really good at what they do. And they know what our goals are, we want to maintain that 20 plus percent growth and improved margins. So they've been doing that the last four years up until we announced that we needed to invest because of ESG, which we still believe is a generational opportunity. So I have a lot of confidence that they're going to be able to throttle back a little. I was consistent before saying that we're investing one year. And after that, we would start to work on margins as a focus. I just didn't want to miss the ESG opportunity, which we think is really significant. And it's already showing, as I mentioned in terms of our success in the marketplace. So I'm very confident that they can, they can improve efficiencies through just a lot of rigor and managing and still maintain our growth rate for the most part. The investment thing this year was really important to ensure long term growth. And we always invest for two reasons. One is to make the product better and more differentiation bigger moats around the product and better customer satisfaction. But also, it's a TAM expansion thing. We're always looking at TAM expansion. And boy, we've expanded our TAM with ESG, we've expanded our TAM with getting to be more of EGR solution than just a sock solution. And so those investments are paying off in terms of variable growth, I'm not, the last thing I'm worried about is bumping our head on our TAM. So I really want everyone to understand that we're very thoughtful in how we manage the business. And this, I don't want to be viewed as spending praise like we're crazy. This was the first year we've ever made a significant investment like this. And we were very clear to everybody in it. And as we planned, we're going to come out of it this year and go back to managing both simultaneously. But we just felt it was so important to get this ESG get the leadership position.
Andrew DeGasperi: And that's helpful. And maybe I don't know if this question is better suited for Julie, but on the product roadmap, I know, amplifies around the corner. Just curious to know if your focus right now is just enhancing the existing products you have for you potentially planning any new use cases they throw out maybe later this year?
Julie Iskow: For the development, as you know, we don't talk about those new use cases and incubation but we continually have our growth team focused on looking at what's there to capture additional TAM but we are focused not just on our existing solutions but of course a lot of capability on the platform which brings all of our solutions up. So you will hear all about it at amplify.
Andrew DeGasperi: Looking forward to it. Thank you.
Operator: [Operator Instructions] Your next question is from Brad Reback with Stifel. Your line is open.
Brad Reback: Hey, great. Marty, is we look forward what do you think has to happen for you guys to get back to 20% sustainable growth? Thanks.
Marty Vanderploeg: That's a good question. Well, I mean, I think we're going to be in the ballpark, even in the existing environment, it's not going to be easy, but I think we'll be in the ballpark. As soon as any capital markets activity, I mean, any returns that will make it easy for us to be above 20% grower. So it's really, it's a matter of two things, it's when cap markets comes back, and us maturing some of these new solutions. I mentioned the TAM thing about not bumping our head, the only solution that we have significant market penetration now is the SEC market. Cap markets were barely penetrated single digit and all these other even IR were single digit in terms of GRC. So, there's a lot of stuff for us to sell. And that's not the problem. So I think in time as these other solutions continue to improve, which they are, I mentioned that our solutions are still growing. Even if cap markets doesn't come back, we'll be there. The other thing I would say is that we invested in the cap markets team at exactly the wrong time. So we have a lot more sellers, but they're out there building relationships with attorneys. They're building relationships with young private companies. So we're going to go public, and we have a magnificent longer term pipeline opportunities for cap market. So when cap market does come back, we're going to have a much more significant go to market activity around that. So all those things come together eventually. And we're very confident that we'll see good growth.
Brad Reback: That's great. Thanks very much.
Operator: There are no further questions at this time. Ladies and gentlemen, thank you for participating. This concludes today's conference call. You may now disconnect.